Operator: Good day, ladies and gentleman, and welcome to the ShawCor Fourth Quarter and Year-End 2014 Results Conference Call. At this time all participants are in a listen only mode. Later, we’ll conduct the question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this conference call is being recorded. And I’d like to introduce your host for today’s conference, Gary Love, CFO. Please go ahead, sir.
Gary Love: Thank you and good morning. Before we begin this morning’s conference call, I’d like to take a moment to remind all listeners that today’s conference call includes forward-looking statements that involve estimates, judgments, risks, and uncertainties that may cause actual results to differ materially from those projected. The complete text of ShawCor’s statement on forward-looking information is included in Section 4 of the Fourth Quarter 2014 Earnings Press Release, is available on SEDAR, and on the company’s website at shawcor.com. I will now introduce ShawCor’s CEO, Steve Orr.
Stephen Michael Orr: Thank you, Gary. And thank you, ladies and gentlemen for participating in this morning’s conference call. ShawCor released our 2014 fourth quarter and year-end financial results yesterday evening. The fourth quarter revenue $500 million strengthened by 22% from year-ago levels as we saw significant increase in activity in our EMAR region and we benefitted from incremental contribution of $30 million in revenue from the acquisition of Desert NDT. In our EMAR region, we reached high volume production on the South Stream Line 2 and South Caucasus Pipeline projects at our pipe coating facilities in the UAE, and we had strong contribution for the facilities in Italy. While revenue was very strong, we did experience a year-over-year reduction in gross margins from our consolidated gross margin, decreasing approximately 4 percentage points from the prior year. The low gross margins can mainly be attributed to shift in revenue away from high margin project work in Asia Pacific, which declined by $69 million on a year-over-year basis, coupled with product launch costs in EMAR and impact of a low margin revenue earned under our cost recovery contract with BP to reveal the coating facilities in Baku, Azerbaijan, that we will operate in 2015. We now successfully qualified the Baku plant and we expect to begin coating of the $200 million Shah Deniz export line project in the second quarter of this year. For the full year 2014, we reported record revenue of $1.89 billion, and earnings excluding impairment charges that were the second best in the company’s history, next only to 2013. Specifically, our EBITDA finished the year at $337 million, and our adjusted earnings per share was $3.14. As we look to 2015, the Shah Deniz project plus other work that we have secured in our backlog will be critical to ShawCor’s performance. In a few minutes I’ll provide with our outlook both as it relates to key project activity and then the impact of the decline in oil prices, particularly in our North American businesses. But first, I’ll ask Gary Love, our CFO to provide you with some of the key details of our fourth quarter financial results.
Gary Love: Thanks, Steve. As Steve mentioned, we’re reporting revenue of $500 million in the fourth quarter, that’s an increase of 22% from the fourth quarter of 2013. It’s also an increase of 6% from the third quarter of this year. Now, compared to the prior year, revenue increased in every region in both segments with the exception of Asia Pacific pipeline. The largest source of growth with EMAR, up $100 million or 194%, primarily due to a higher activity level in the UAE and Leith, Scotland. The start of activity in the Caspian and from our Italian facilities, also increasing $31 million or 17% was North American pipeline. It was attributable to the addition of approximately $30 million in revenue, from the July 2014 acquisition of Desert NDT. In Latin America, revenue increased by $26 million or 118%, that was due to increased activity at our pipe coating facilities in Veracruz and Coatzacoalcos, Mexico, partially though offset by lower revenue in Brazil. These increases were of course - partially offset by the decrease in revenue in Asia Pacific, which declined by $60 million compared with the year-ago, when the Inpex Ichthys, Wheatstone, and Julimar projects had been in production. Now, compared to the third quarter of this year, revenue increased by $30 million, and again it was a result of higher volumes in our EMAR region at Ras al-Khaimah from the South Stream and SCPX projects and from the Baku facility rebuild contract in the Caspian. On a consolidated basis, gross margins in the fourth quarter was 35.5%, down half-a-point from 36% in the third quarter, and down 4.2 percentage points from a year-ago. The pipeline segment gross margin was 35.8% versus 36.9% and 40.7% in the third quarter and year-ago quarters respectively. The decline in pipeline segment gross margin can be traced to the continued decrease in Asia Pacific revenue as a proportion of total company revenue, and due to lower margins in EMAR from a combination of new product launch costs and from low margin revenue earned on the cost pass-through contract with BP for the rebuild of the Baku coating plant. The petrochemical and industrial segment gross margin increased to 38.8% from 26.2% in the third quarter and 30% a year-ago. The margin improvement reflects a more favorable product mix. Fourth quarter adjusted operating income increased by $10 million to $58 million, from $48 million a year-ago. The increase in revenue that we’ve described translated into higher gross profit of $15 million. In addition, adjusted operating income benefitted from a decrease in SG&A expenses of $2.7 million, lower amortization of property, plant, equipment and intangible assets of $1 million and a decrease in research and development expenses of $1.9 million. SG&A expenses in the fourth quarter were $100 million, and that’s down from a $103 million a year-ago. For the full-year 2014, SG&A expenses came in at $375 million. Now looking to 2015, we are targeting SG&A expense reductions, that will reduce SG&A to an annual level below 2014 and to do this we are implementing further costs reduction measures in the first quarter. Our consolidated adjusted EBITDA for the fourth quarter is $76.4 million, an improvement of 7% from the third quarter and a gain of 34% from $57 million in the fourth quarter a year-ago. The consolidated adjusted EBITDA margin in the fourth quarter is 15.3%. This consists of 16.5% in the Pipeline segment and 14.1% in the Petrochemical and Industrial segment. Adjusted operating income and adjusted EBITDA exclude the impairment charges in the fourth quarter of $79 million, which are related primarily to the write-down of goodwill and intangible assets that were generated from the acquisition of Socotherm Gulf of Mexico. The lower operating income, we have also recorded an impairment of our joint venture investment in Venezuela for approximately $19 million, is reflected in the loss from investments in joint ventures. With closing of the equity issue in September we paid down bank debt, with the resulted net finance cost decreased to $3.8 million in the fourth quarter from $6.2 million in the third quarter and $5.4 million a year-ago. The fourth quarter tax provision, include the deferred tax recovery of $28 million relating to the impairment charges. Now excluding the impact of the impairments, the fourth quarter 2014 effective tax rate of 11% is well below the Canadian statutory rate of 27%. And the main factor in this low effective tax rate is the high percentage of the company’s income that was generated in the fourth quarter in low tax rate jurisdictions. We are reporting earnings per share in the quarter of a loss of $0.32 per share. However, excluding the after tax impact of the impairment charges the adjusted earnings per share in the fourth quarter is $0.76 per share. For the full-year, reported earnings per share is a $1.53 per share, while adjusted EPS again excluding the impairments is $3.14 per share. Turning to cash flows in the quarter, before changes in non-cash working capital, cash flow provided by continuing operations with $66 million, an increase from $56 million and $30 million in the third quarter and year-ago quarters respectively. The increases track closely the improvement in adjusted EBITDA coupled with the low tax rate. The change in non-cash working capital in the fourth quarter was a net cash inflow of $25 million, this compares with the cash inflow of $10 million in the third quarter and the cash outflow of $5 million a year ago. The main factor in the positive change in working capital in the fourth quarter was an increase in deferred revenue of $30 million. Cash flow used in investing activities in the fourth quarter excluding reductions in short-term investments was $20 million; this consisted largely of capital expenditures on property, plant, and equipment of $23 million, partially offset by proceeds from the sale of surplus property. During the fourth quarter, financing activities used net cash of $64 million, with debt repayments of $82 million and dividends of $10 million more than offsetting the $28 million of additional proceeds that we received in October from the September share issue. For the full-year, cash flow from investing activities was $188 million, while net cash used in investing activities was $348 million. Our investments in 2014 included capital expenditures on property, plant, and equipment of $78 million, share investments in ZI [ph] and PFT of $28 million and the Desert NDT acquisition of $280 million. Based on the cash flows in the quarter, cash plus short-term investments increased in the quarter to $117 million. That’s up from $104 million at the start of the quarter, and it’s up from $86 million a year-ago. Including available credit facilities the company has almost $500 million of available liquidity as of year-end. On that note, I’ll now turn it back to Steve for his commentary on our outlook.
Stephen Michael Orr: Thank you, Gary. The company’s 2015 outlook will be largely influenced by two distinctly different elements of our business. First is a large project activity primarily outside of North America that is represented in our backlog. Second is our North American businesses that are leverage to oil and gas drilling and completion, including small diameter pipe coating, composite pipe, OCTG tubular management and gathering line weld inspection. These two elements have very different prospects in 2015 and thus I will elaborate on each. First, let’s look at large project activity. As of the year-end, we are reporting an order backlog of $766 million, up 24%, from $617 million at start of the year. The order backlog consists of value of book orders that we expect to execute over the next 12 months, and that is a good indicator of larger project activity in 2015. The backlog increased was supported by the award of the $200 million Shah Deniz gas export pipeline in the fourth quarter. Although not reflected in the backlog, the company is encouraged by indications from our North American and Latin American midstream customers who indicate they will continue to maintain a strong level of large diameter pipeline construction activity in 2015 and beyond. Historically, the company has always executed projects that are ventured into the backlog. However, today the South Stream Offshore project challenges that statement as this is - this project has uncertainty in the work. In 2014, the company has secured four contracts for pipe coating and joint protection for the first two pipelines in the South Stream project. In December, these contracts were suspended by our customers, and as of to-date, the suspensions remain in effect. The value of the contracts that we have yet to execute as of year-end is $125 million, of which $114 million is in the $766 million year-end backlog. Our customers continue to indicate their belief that the work will recommence in the second-half of 2015, however, the risk exists that the South Stream contracts could be cancelled or delayed for a significant period of time, in which case, we would need to adjust our backlog accordingly. In addition to backlog primarily due to Shah Deniz, ShawCor holds booked orders with value of approximately $232 million that extend beyond the next 12 months, and thus provide good support, even at this early date for large project activity into 2016. Also supporting our outlook for 2016 is our outstanding bid lift with value of currently outstanding firm bids exceeding $800 million. This amount did decline from approximately $1 billion at the end of the third quarter. However, we continue to be impressed by the breadth and geographical diversity of the bidding activity. In addition to our outstanding firm bids, we are attracting an additional $1 billion in projects, which have provided customers with engineering estimates. One of the expected consequences of the decline in global oil prices would be the extended timeframes from project inception to final investment decision. However, the additional time spent to reduce capital cost and reduce product risk would be an enabler for projects to precede post-2014. The second key element of our outlook is a negative impact on our North American businesses that are levers to oil and gas drilling and completion. As of the year-end 2014, these businesses generated approximately $500 million in revenue on a full year-on-year basis, or approximately 25% of the company’s total revenue. A decrease in the number of wells completed can be expected to have a proportionate impact on this revenue level. Currently, current industry forecasts are projecting, as the number of drilling rigs active in North America was decreased by up to 50% in 2015. Although the exact timing of the resulting impact on our revenue is difficult to determine, we do expect our North American Pipeline segment will be impacted significantly commencing in the second quarter and extend until rig counts begin to recover. To mitigate the impact of lower volumes in the fourth quarter, we initiated personnel reductions, facility closures, and other cost control measures. In 2015, further personnel reductions and rationalizations were implemented. We continue to monitor activity levels and we are committed to adjust our cost structure appropriately. Although the downturn will impact operating income and cash flow, the company is in a very strong position to not only weather the downturn, but also to take advantage of opportunities to undertake growth investments and execute our long-term growth strategy. The successful equity raise in September 2014 has led ShawCor with a very strong balance sheet. Even in an environment of reduced revenue and operating income, we have substantial investment capacity, which we intend to employ. We continue to attract an extensive list of potential acquisition targets in each of ShawCor’s five growth teams and we are optimistic that opportunities will arise to close strategic acquisitions over the next 12 months. And in that note, I’ll now turn the call over to the Operator for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the Jeremy Mersereau of National Bank Financial. Your line is open.
Jeremy Mersereau: Good morning, everyone.
Gary Love: Good morning.
Jeremy Mersereau: On the North American business, wondering if you’re seeing some of the customers trying to get concessions from you, and if you think that will potentially get worse over the next few quarters?
Gary Love: Yes, Jeremy, I think the business as far as - I can tangle through each one of them and I can give you some indication. So as we mentioned, we have several business that are impacted by the North Dakota business. So the large diameter pipe, the girth well inspection, the composite pipe or Flexpipe for us, and finally, the - that didn’t have a Guardian or the OCTG. So what we’re seeing right now starting with - this is across the board request from our customers to help them reduce costs, so these are generic letters that are coming out and asking for reduction. We are not and as a percentage of their spend, we’re not a large target item then in all these cases. The - probably the biggest influence that we are going to see is the pricing strength that we had in 2014, is going to evaporate. So the possibility of moving prices up is not going to have and it’s not possible, and we are starting to see the biggest impact is the reduction in volume. So and I would say kind of across the board starting with our small diameter pipe coating businesses, because the model with distributors is the first one that’s being hit. So if I kind of look at the impact on margins, pricing is not going to be the biggest one. The biggest one would be reduction in volumes and the inefficiency that it brings to the operations of pipe coating, Flexpipe, in particular, are going to be hurt. Our service-related business is Desert, in particular, that service-related and Guardian, that’s service related. The pricing concessions that are being asked for are on the unit. So price concession is on the costs for girth weld inspections are the day rate. And so far to-date, what we’ve been able to do is to protect that pricing pressure, but we are having to concede the cost associated with having crews service work that’s out of district, so the [pridium. And the pridium - the pridium] is going away, so customers are not prepared to pay for crews out of a district, so the pridium [ph], so for a period of time has been influencing margins substantially until we can move those crews sit on the top of where the work is happening. So for us the biggest margin impact will be from volume reduction and the absorption rate in the plant.
Jeremy Mersereau: Okay. And I guess getting back to the bid book, wondering if you could tell me what affect the lower regional LNG pricing is having on the bid book?
Gary Love: So if you look at LNG the - of course, the one that we and I think we would actually go to the $1 million, right, where the LNG projects are most visible, because the bid book that we question. The biggest movement was, we generated about $500 million of revenues for that backlog and, of course, the backlog was entered into because of Shah Deniz, right? So the $800 million decline is mostly, so LNG projects are most visible to us right now on the West Coast of Canada. And at the end of the fourth quarter, they sat in the budgetary $1 million advent, so that’s where they sit right now. Other LNG projects that are associated are primarily reflected also in the budgetary numbers, the $1 million. So the bid book is not influenced very much by LNG at all.
Jeremy Mersereau: Okay. Thank you.
Operator: Thank you. Our next question comes from Scott Treadwell of TD Securities. Your line is open.
Scott Treadwell: Thanks. Good morning, guys. I wanted to ask on the sort of project size, especially in EMAR. The ramp-up of the facilities are and I guess the ramp down of the stuff in Asia, is that materially complete as of Q4, or is there any overhang structurally, as you go forward into 2015?
Gary Love: So we’re still - so we’re not done yet. And then I will explain a little bit, because we still have associated cost in Asia Pacific of holding personnel to finish the work up, but we’re not 100% done, so we still have that. And until we actually start coating pipe in EMAR and as we mentioned in the notes, we have just now - the pipe facility in Baku has been qualified. We will still have overhang into Q1 as we would do [ph], but I would expect as we enter the extra point of Q1 into Q2, we’ll be done. But we will still see in Q1, because we haven’t started doing the volume of pipe coating in Azerbaijan yet, right?
Scott Treadwell: Okay. Perfect. The second one, I guess, a bit of a follow on. The projects that either are in firm bid or in the sort of budgetary estimates phase, have you seen any sort of rebid retendering work yet, or just the general slowing of that treadmill [ph], which I’m sure you do expect to see, has that crystallized yet? And again, have you seen anything on the rebidding, retendering side?
Stephen Michael Orr: It’s something you can imagine, we’re watching very closely, right? And so what we’re watching very closely is time conversion and budgetary to bid and bid to backlog. So we’re watching this very closely and depends, we’re a bit analytical on these numbers. So these buckets we’re able to go back historically and look at it. And today, there is only one project that has moved that we would have called into the bid book, it was a firm bid that was outstanding, we’re expecting to close with Chevron IDD, which was around $90 million to $100 million, that’s set in our bid. That because of political uncertainty the bids have now lapsed and they’re going to retender July this year, so that moved back to our budgetary. That’s the only one.
Scott Treadwell: Okay. Perfect. My last question is on Flexpipe. I mean, one of the big growth drivers has been the market adoption of Flexpipe over small diameter steel. And then there is a big cost savings for producers. It’s early days, but structurally do you think Flexpipe can offset some or all or at least a good portion of the market sort of slowdown just through better adoption? Obviously, I’m not asking if it’s going to grow year-over year, but just does it have that level of insulation or is the inertia and the willingness to try something new reduced in this environment?
Stephen Michael Orr: Yes, I’ll be - so think we have to look a little bit higher level on what’s going to happen in terms of the infrastructure spend. So - and maybe even look at the rigs. So if you look at the rigs and you look at what the rigs that have been most likely opportunity to continue to work, they’ll be the higher-end rigs that are able to do the extended reach horizontal drilling. So I think it’s encouraging to say that the horizontal high value rigs that have the biggest horsepower that can run high-end rotaries [tiervolt] [ph] that are top drivers into the market. Those rigs themselves, I think there is a scenario that it will go and the sustainable work will be on pad drilling and the number of wells per pad is going to increase. So then the outflow from those pads possibly will be larger diameter. Certainly, we are quite positive or quite upbeat on the industry wanting cost savings and value that Flexpipe brings but there is going to be a movement where a large percentage of the piping that leaves the pads will be larger than the capacity pipe that we have in our portfolio today. So if you go back to the statement that we made several times, we are quite excited about the future portfolio expansion that brings 6-inch and 8-inch and larger portfolio products into the market. So that’s kind of the balance. I think certainly, and you hit on it, how we’re approaching customers is cost, unit cost and the overall cost - total cost of ownership is attractive for Flexpipe but I would argue on the other hand tightening in the market also may change the volume of pipe in the different usage of flow are from pads to gathering point, right?
Scott Treadwell: Okay. And I guess, there is a follow-up, does the 6-inch Flexpipe product gets you into those larger volume pad applications or do you need to go into the 8-inch?
Stephen Michael Orr: 6-inch helps greatly.
Scott Treadwell: Okay. Perfect. I appreciate the color guys, I’ll turn it back. Thank you.
Operator: Thank you. Our next question comes from Dana Benner of AltaCorp Capital. Your line is open.
Dana Benner: Thanks. Good morning, guys.
Stephen Michael Orr: Good morning.
Gary Love: Good morning, Dana.
Dana Benner: I wonder, if you’d provide us with some detail on your plans for 2015. Is there any way to quantify the savings that we could see from your various cost reduction efforts, either in North America or globally?
Gary Love: Well, yes, there’s going to be several elements. So one thing we’re focused on is in the businesses that have the near term volume impacts and so these would be up as the North American business as Steve I think described that fairly fully here. So the critical issue is to reduce cost structure to try to hold the line as much as possible on margins. And that’s the challenge and it’s an uphill challenge. But we will have some slippage in margins in our North American businesses and so our challenge is to try to minimize that as much as possible. In the absence of the North American downturn we were clearly expecting a very strong 2015 and we knew that with the ramp-up in EMAR we were going to get a margin lift. What’s obviously working against us though is the deterioration in margin associated with the volume reductions in those North American businesses that Steve described. So the name of the game there is to mitigate as much as possible and that’s going to show up in two places. It’s going to show up in our gross margin, can we minimize the downward drift associated with the North American downturn? And then in our SG&A, can we reduce our fixed cost structure systematically across the board? So SG&A, we are exiting the year, we did $100 million of SG&A in the fourth quarter. We cannot continue in 2015 at that level. So I made a statement that we were going to try to bring that down to 2014 or lower levels, and of course, 2014 for the whole year was $375 million, right? So that’s kind of the order of magnitude of what we’ve got to take out of our SG&A.
Dana Benner: Okay. Sorry, are you done on your end then?
Gary Love: Yes.
Dana Benner: Okay. I thought I heard Steve chip in. And so presumably the effect of that would be progressive throughout the year; we wouldn’t expect to see that type of trend-line as early as Q1?
Gary Love: No, there’s a couple of things. I mean, there’s - we’ll see some reductions because we implemented some cost savings in the fourth quarter so we’ll get the benefit of that right away. There’s another element Steve touched on, which is completing the Asia Pacific, let’s call it the downsizing and there’s both personnel associated with that, but also there is a significant element of facility cost that’s currently tied up in Asia Pacific for the all the pipe that we’re storing that’s yet to be loaded out. So as the pipe load outs are completed we’re going to release the land, we’re going to release the equipment, the pipe handling equipment so we will see our reductions in cost progressively over the first-half of 2015 as we complete the downsizing in Asia Pacific. So in answer to an earlier question, we’re not done that yet. So that’s going to continue in the first-half of 2015. And then we also have additional personnel reductions that have already been implemented in the first quarter and we’ll start to see the - there’s enough front costs associated with that. We’ll start to see the benefit of that second quarter and beyond.
Dana Benner: Right. Okay. Forgive me, because I’m jumping between two calls here. Have you addressed whether there’s more Shah Deniz work out there to win, or do you think it’s mostly tied up now?
Gary Love: There’s additional work associated with pipelines, it’s not BP project work but both the TANAP and the TAP pipelines do provide opportunities both of which are captured in our budgetary or yeah, budgetary project list.
Dana Benner: So that’s the $2 billion number, not the $800 million?
Gary Love: Well, to be clear, the $2 billion is the total, $800 plus, call it $1.2 billion that explains the grand total.
Dana Benner: Right.
Gary Love: Yes, so it’d be in the $1.2 billion. For example, TAP, we have not bid TAP yet, that’s the Trans Adriatic pipeline has not been busy yet.
Dana Benner: Okay. And do you have any sense as to when you could see those projects move to formal bid as, I don’t know, 2015 event?
Stephen Michael Orr: Sometimes during 2015.
Gary Love: End of the year.
Dana Benner: Okay. Just finally from me on the M&A side, curious as to the types of reductions you could notionally be seeing on some things that you may have been look at if you’re starting to sellers get a little bit more realistic, or do you think you have to wait a little longer?
Stephen Michael Orr: They’re starting to drop and we’re starting to see our first sign of distress sales. So we have an extensive list of M&A and they fall into these three boxes that we mentioned before, which were tuck-under technology and new platforms of growth. We have added now to the list, so our funnel. We are now - have seen multiple opportunities where are coming from distress or downturn trading. The reason why they will trade now is because they are distress sale because of the cash flow or balance sheet issues, and we’re starting to see that which is a positive sign.
Dana Benner: Okay. I’ll turn it back. Thank you.
Operator: Thank you. Our next question comes from Mike Mazar of BMO Capital Markets. Your line is open.
Mike Mazar: Hey, guys, good morning. Sorry, I’ve forgotten how to cancel. My question was actually the same as Dana’s one the M&A side. So my question was answered. Thanks.
Stephen Michael Orr: Okay, yep. Thanks, Mike.
Operator: Thank you. Our next question comes from Jesse Pytlak of Cormark Securities. Your line is open.
Jesse Pytlak: Hey, good morning. I was wondering if you could comment on activity in backlog levels through the large diameter North America work and just kind of how they’ll look there is change from a, say, year-ago?
Stephen Michael Orr: Yes. So one of the elements of North American large diameters that quite bit of it, it doesn’t go into our backlog until we actually book the orders. There is - as Steve mentioned it in his prepared remarks, our outlook for North American large diameter is positive. The activity levels in 2014 were quite strong and we see them continuing strong in 2015. There is a - some very notable projects on the horizon that could start to impact your backlog late in 2015 and into 2016. And probably the most important or the most eminent of which is the Line 3 replacement for Enbridge. But generally, I think, when we look at our global landscape, North America large diameter is going to continue to be an area of strength for a number of years.
Jesse Pytlak: All right, perfect. And then just in terms of operating margin, we’ve kind of seen this stick down through the year and either around 11%, 12% in the quarter? Is this a level that you expect it to float around in 2015 or how should we kind of look at this?
Gary Love: So the - if we look at the Pipeline segment, which is really the critical here, so our operating margin in the second-half of 2014 dropped down into the sub 13% range, so just under 13% in each of the third quarter and now the fourth quarter. We had maybe alluding to a comment I made a moment ago, we had been optimistic that we would see a significant uptick in margins in 2015 over the second-half 2014 level. The drivers for that being the ramp-up in EMAR and the large project activity that’s in our backlog. And that’s still our case. What we now though have to confront is the negative impact associated with the volume reductions in our North American businesses that are leverage to well completion. So how does the balance doubt, obviously time is going to tell. It depends on what happens in North America on those businesses. That will determine whether we’re able to move above the current level in pipeline operating margin or not.
Jesse Pytlak: All right, perfect. That’s all my questions. Thanks, guys.
Operator: Thank you. [Operator Instructions] Our next question comes from Elias Foscolos of Industrial Alliance Securities. Your line is open.
Elias Foscolos: Good morning. I have a - first question related to backlog. In terms of backlog, do you mark-to-market your backlog in Canadian dollars based on for certain exchange rate at the end of the quarter, or do you kind of average it throughout the quarter?
Gary Love: So what we do is the backlog is based on our quarter and exchange rate. And so there would be some, I mean, obviously the Canadian dollar has weakened since December 31, 2014. So that would all other things being equal assuming the current rate holds through the year, we would - in Canadian dollars, we would generate more revenue than is strictly speaking, reflected in the backlog. But the backlog gets, you say, mark-to-market, but it gets translated at the quarter end exchange rate.
Elias Foscolos: Okay. Just a little bit related to that, you have provided some approximate revenue numbers into 2015 for some of the Pipe and Pipeline Services segments. What - if you can share what currency or what the exchange were you using when you came up with those estimates?
Gary Love: We were using a rate, which is in our view deemed to be conservative. It would be slightly below what the current spot rate is.
Elias Foscolos: Okay.
Gary Love: Again exchange rates are one element that it could be favorable for us if current spot rates for the Canadian U.S. dollar prevail throughout the year.
Elias Foscolos: Okay, all right. That helps the answer there, thanks. I want to go back to margin just for a moment in the Pipe and Pipeline Services segment. The margin decrease in the latter half of the year seems, you’ve alluded that it’s attributable more to a product mix change, which is less sales out of Asia. I guess, I was on the assumption that a lot of that would have come through Desert NDT, is it a combination of both, or is it really shifted towards the Asia loss of revenue?
Stephen Michael Orr: Yes, it’s…
Gary Love: It’s the Asia loss of revenue. I mean, if you look at our - the first-half of 2014, Asia Pacific represented over 25% of the company’s consolidated revenue. And in the second-half of 2014, it was down to 10% kind of 11% of consolidated revenue. So that’s a very substantial shift in our overall regional composition of revenue, and that’s your single biggest factor there. Desert NDT was accretive to our EBITDA margins and was neutral to our operating income margins. And the difference being, we’ve got a substantial amount of intangible asset amortization associated with the accounting for the acquisition. But - so from an EBITDA margin perspective, it was absolutely accretive, full stop.
Elias Foscolos: Okay.
Gary Love: Second-half of 2014.
Elias Foscolos: And the last one is, when do you plan to publish the MD&A and the full financials?
Gary Love: It would be probably sometime early next week. We typically tried - we post on SEDAR relatively quickly after releasing our earnings. And I would - I can’t promise the day, but I would expect sometime next week.
Elias Foscolos: Okay. Thank you very much.
Gary Love: You’re welcome.
Operator: Thank you. I’m not showing any further questions in queue. I’d like to turn the call back over to management for any further remarks.
Stephen Michael Orr: I just would like to thank everybody for participating in the call today, and I look forward to speaking with you at the end of next quarter. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This concludes today’s program. You may now disconnect. Everyone, have a good day.